Operator: Good day and welcome to the RAVE Restaurant Group, Inc. Third Quarter 2020 Financial Results. [Operator Instructions] Please note, this event is being recorded. And I would now like to turn the conference over to Clint Fendley, Vice President of Finance. Please go ahead. 
Clinton Fendley: Good afternoon and thank you for joining RAVE Restaurant Group's Fiscal Third Quarter 2020 Earnings Conference Call. Everyone should have access to our third quarter 2020 earnings release that was published this morning. The press release can be found at www.raverg.com in the Investor Relations section. 
 Before we begin, I would like to remind everyone that part of our discussions today will include some forward-looking statements. These forward-looking statements are not guarantees of future performance and therefore you should not put undue reliance on them. These statements are also subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We refer all of you to our recent SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial condition. 
 Please note that during today's conference call, we will discuss certain non-GAAP financial measures, which we believe can be useful in evaluating our performance. Any discussion of such information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. A reconciliation of comparable GAAP measures is available in our earnings release. 
 And with that, I would like to introduce our Chief Executive Officer, Brandon Solano. 
Brandon Solano: Thank you, Clint. And good afternoon, everyone. Just so you know, that was Clint Fendley. He's our new Vice President of Finance and Principal Financial Officer. He's a new voice, and you haven't heard him before. Clint is a talent. We're lucky to have him. And he has absolutely been working his ass off for our company, for our shareholders and for our franchisees since the day he landed here. And we're absolutely lucky to have him. So thank you, Clint. 
 In our last quarterly review, I shared the progress RAVE was making in developing a turnaround strategy for both Pie Five and Pizza Inn. At the beginning of the third quarter, we are working with our leadership team to implement improvements in a long-term plan for underperforming areas of our business. 
 All that changed in March as our team worked to mitigate the challenges brought on by COVID-19 and related closures and shelter-in-place orders. Just as we were starting to gain traction in our mission of developing a sustainable and thriving business model, we faced a new threat to our business. Business is about overcoming obstacles, and this is about the biggest obstacle we've seen in the country for quite some time. But the U.S. consumer is resilient. After 9/11, people said the airline industry would never recover, but before the pandemic, domestic flights were at an all-time high. The restaurant industry will recover, and so will RAVE. 
 It's been inspiring to see the tenacity of our franchisees and team members as we navigate this new landscape. As a team, we've all worked tirelessly to ensure that our restaurants remain a safe place to work and dine during the coronavirus outbreak. 
 Our team is committed to raise financial stability, and we have all made sacrifices to ensure we emerge from this crisis together and stronger. We looked at all areas of our business where it made sense to reduce expenses, including furloughing 2/3 of our support staff, and across-the-board 20% pay reduction for all other employees including executive leadership late in the third quarter. 
 But we are still fighting hard for our brands. As you may recall, Pizza Inn had 12 straight quarters of positive same-store sales. In fact, in the last quarter before COVID, Pizza Inn delivered same-store sales that beat industry leaders Domino's, Pizza Hut and Papa John's. We are a strong brand. Although Pizza Inn domestic comp retail sales declined by 7.8% in the third quarter, we continue to look for ways to serve our guests and grow our sales. Our buffet locations in particular have been challenged by store and dining room closures. This system has not been traditionally focused on delivery or carryout. We changed that by launching the Contactless Buffet To-Go for carryout and delivery to provide guests customized buffet options in the comfort and safety of their own homes. We saw a very positive response from our guests and franchisees as they enjoy the value and variety of Pizza Inn in their homes. 
 We also recognize the need for off-premise solutions and quickly expanded our online footprint, negotiating favorable terms with third-party delivery services. For Pizza Inn, this added or expanded a new revenue stream and gave our restaurants a new way to serve guests. Last month, we introduced the Right Way Buffet that allows our buffet locations to open their dining rooms while practicing enhanced safety and health measures. Today, out of our 82 Pizza Inn dine-in locations, 70 buffet locations are currently open, up and running, and all of our convenience store locations are open. We consider this a win for our franchisees and team members and guests in the communities we serve across the country. 
 Pie Five domestic comparable same-store sales decreased 21.4% during the third quarter of fiscal 2020 compared to the same period of the prior year primarily driven by COVID-19-related store closures. Prior to the pandemic, we are working to restore positive momentum at Pie Five by strengthening unit economics and operational efficiencies. We are now squarely focused on working with our franchisees to mitigate the effects of store closures and social distancing efforts. We are not out of the woods and continue to enhance our everyday value offerings to ensure that all of our guests have access to affordable dining options throughout the crisis. 
 With support from our guests, I'm also proud of our efforts to serve essential workers that have been bravely serving us in communities across the country. 
 In closing, our top priorities remain improving profitability and implementing strategies that will deliver bottom line results for both brands. But we are now squarely focused on emerging from the crisis a stronger and more efficient brand. At a time when we were facing a global pandemic, closed dining rooms, social unrest and even murder hornets, I continue to be inspired by our team's resilience. Our franchisees and team members have gone into quick action and are absolutely lights out in serving their communities during this time. I'm honored to be part of this team and look forward to a bright future. 
 I'm now going to turn the call back over to Clint to discuss our financial results in further detail. 
Clinton Fendley: Thank you, Brandon. Total revenue decreased by $0.4 million to $2.7 million for the third quarter of fiscal 2020 compared to the same period of the prior year. Loss before taxes was $0.5 million for the third quarter of fiscal 2020 compared to a $0.3 million loss for the same period of the prior year. The company recorded net loss of $4.5 million for the third quarter of fiscal 2020 compared to a net loss of $0.3 million for the same period of the prior year primarily due to a $4.3 million increase against the reserve for net deferred assets and lease impairment charges. The company's net loss per share increased $0.28 per share to $0.30 per share for the third quarter of fiscal 2020 compared to $0.02 per share for the same period of the prior year. Adjusted EBITDA for the third quarter of fiscal 2020 decreased $0.2 million from the same period of the prior year. 
 During the third quarter of fiscal 2020, Pizza Inn opened 3 domestic units and closed 4 units to finish the quarter at 152 domestic units. Pie Five closed 10 domestic units, bringing the domestic unit count to 43 restaurants at the end of the third quarter of fiscal 2020. 
 The company's cash and cash equivalents decreased $0.4 million during the third quarter of fiscal 2020 to $1.5 million at March 29, 2020. The decrease in cash and cash equivalents resulted from payments for lease settlements, severance and relocation expenses. 
 With that, let's open the line for questions. 
Operator: [Operator Instructions] Our first question today will come from [ John Priscilla ], private investor. 
Unknown Shareholder: Brandon, Clint, my name is John. I've been a long-time private shareholder for quite a while. And I guess I sort of really want to ask the question -- it just seems at some point, the company needs to get to the point where it really decides that one or the other of the brands that you're pursuing might be good to jettison so that you can focus 100% of your resources. Clearly, one of the reasons why I started investing in the first place was back at the launch of the Pie Five, and that has clearly not worked out sort of as anybody expected. And that's fine, things happen. I understand that. But it seems that the progress you're having lately or certainly in the last year or so has been much more to do on the Pizza Inn side. And I'm just really wondering if it's time to really think about jettisoning Pie Five perhaps and refocus based on the resources that are available. And that's my -- really my main question for you. 
Brandon Solano: John, this is Brandon. Thanks for your question. And thanks for being a long-term investor. We appreciate it. 
 Clint and I have not been here for a long time. Clint's been here about 6 months. And it's obviously been 3 months of trying to figure out kind of the ins and outs of the business. And then the last 3 have been a lot of crisis management for us. So I appreciate your long-term investing. 
 I will tell you, I don't -- I've been asked that question by our franchisees by both Pie Five and Pizza Inn franchisees. We have absolutely no intention of giving up on Pie Five, and I think that was really your question. It wasn't, "Hey, would you give up on Pizza Inn?" And both are challenged, but that said, we are turnaround folks. We have a long history of turning around brands, and we love a challenge. And this business is not for the faint of heart. We have built a very, very rugged team that love -- there's something wrong with us, to be honest. We love a challenge. We are not quitters. And I will tell you, it's more than that. It's more than just hubris or bravado. We believe in the Pie Five brand. I believe in our franchisees. We've got folks who are absolutely coming along. The idea that this is a resource drain, I would argue, is not true. We've actually -- we're about 31%, 32% down in terms of headcount right now here at RAVE. So we've done a lot of restructuring, and we've done a lot of shared resources. So where we used to have people who were exclusively Pie Five -- I think we only have 2 people on corporate staff who are Pie Five exclusive. 
 These are not -- these are not big complicated businesses. [ You obviously have ] Wendy's, and we had kids' meals and breakfast and late night and all kinds of different cooking platforms. This is a relatively simple business. And we're pretty streamlined in terms of our overhead to support the business. And we think Pie Five is very interestingly competitively positioned. We have some things that we can do with our oven and our cooking platform that we're working on right now, that we hope to introduce here before too long, that our competitors in the fast casual pizza space can't do. We want to sharpen our focus to be more fast casual. I would say we've been a follower in more QSR pizza and not nearly differentiated enough. We've hired an amazing agency in Siltanen & Partners to support kind of a positioning reboot. 
 One of the things that has slowed us has been COVID because we haven't been able to do the research, all the research that we wanted. Right now, we're going to do some concept testing or some idea screening with consumers. "Hey, do you like this positioning or this new product?" I mean they're hiding out under their beds, right? I mean it's a very difficult time to get very good consumer data. So that has slowed us a little bit, but we've put some things in the market. And we're continuing to test. And we have to put a lot of kites in the air, but we have a strategy that we're focused in on. We're continuing to get feedback from the market in terms of pricing, price points, new products and new ideas. And we have a long history of individually, not here at RAVE, of being able to take those ideas, distill them down to the big ones, get really maniacally focused on them and execute like crazy and have it work. 
 So I joined Domino's Pizza in 2008. It was similar. The global financial crisis hit. We had 2,000 stores that were losing money. The stock hit $3. And today Domino's trades at, I don't know, it was $360 and change when I looked earlier today. And so listen, that's no guarantee that RAVE is going to do the same thing. We're a different brand, we have different folks. But I know kind of the kind of key levers and platforms it takes to turn around a brand. And we're subscale now. We're approaching -- and we're over 100 stores, and now we've got 32 open right now. So it's a small business. In some ways, that's to our advantage because we can be nimble. 
 And I think you might have seen earlier when I came in, we took LeBron James and Blaze the task over freedom of speech in Hong Kong. We will fight hard. And we will be very, very difficult competitors. 
 We've been slowed a little bit. And I would tell you, I hate it. I hate being slowed. The team will tell you we're not patient. And we're not asking anyone to be patient with us. We are where we are. But we have plans and we have a really amazing team. 
 I mean we ran this company with 17 people for a couple of months and realized that maybe we didn't need all the folks that we had on staff. So we're going to be maniacal about cost cutting. And Clint is really helpful with that. And Mike Burns running operations, he's a lights-out operator. So we feel good about our ability to turn Pie Five around, and we're not giving up. 
Unknown Shareholder: Yes. And so I mean just to say -- one follow-up anyway and then I hold on and let somebody else. But I guess really the question is -- and I understand you've been slowed down, believe me and I'm not being critical at all because I understand the situation. And I used to be -- I don't know, there was -- there still is but there's a regional pizza chain called -- in the northeast called Bertucci's. It was a brick oven pizza place. It still is around, but in the first sort of 10 years, we went like crazy. And I was part of the start-up team on that. And it was highly, highly differentiated at time. Brick oven -- we're the first brick oven pizzerias. And we just -- it was very, very -- is really well-differentiated model. And so what my -- and it was clear when you talked about that. And so with Pie Five, when I -- a number of years ago now, I actually went down to the Maryland opening back when -- which probably doesn't exist at this point anymore. And one of the things that frustrated me is that in going to a number of Pie Fives, I thought the product was significantly better than the Blaze product, which I went to a number of. I just -- now I haven't been there -- into a Blaze in a long time, but at the time I thought that the Pie Five product was significantly better. I thought the Blaze was [ smooshy ]. It was -- it just -- I just did not find it as good of a product. And yet, they're clearly doing things from a sort of marketing and development setting, for whatever reason, is gaining them the traction. And so I don't -- obviously, you're going to need time, I guess, but those are just sort of some questions. Is there really a way that you think that you're going to truly be able to reenergize and reinvigorate Pie Five in a way that's going to move beyond? It's sort of like will Papa John's ever be able to be -- catch up or get to a point where it's dominant over Domino's? Or is it going to be sort of #2? I don't know. Those are some questions you don't have to answer necessarily, but I guess there's some frustrations there because when I say a long-term shareholder, I mean long term. And obviously I just sort of wonder now. But I don't need you to go into why we're at where we're at, but those are sort of some of my thoughts. You've answered some of those well. If you think that the company has the resources, there's a little bit of a contradiction there, at least from my standpoint as a business consultant, when you talk about maniacally focusing on something. If you have 2 of those things that you're maniacally focusing on, are you really able to maniacally focus on them? Or do you feel you can -- and again, you don't have to answer that. It's a little rhetorical. 
 But just some of my frustration because I thought the product was amazing. I haven't tested it in a long time now. But anyway, I'll leave this open to anybody else if they have any questions. But I do appreciate the opportunity for you to -- and I like the language that you're talking, I certainly do. And hell, it would be great to see some of those things happen. 
Brandon Solano: Yes, you got it, John. I'm going to go ahead and not accept your apology for being critical. Investors need to be critical. That's the market, that's the system. Our franchisees get to be critical. And if any of us took this job, they can, there'd be no criticism or if we're... 
Unknown Shareholder: No, I mean for COVID. I mean for COVID. Not -- for COVID, I don't think it's fair to criticize anybody for the COVID. The other things, I'm happy to. 
Brandon Solano: Sure point. We welcome it. It keeps us sharp and on our toes. And I started my career and kind of grew up in marketing. And if you ever worked in franchise business as a marketer, that's where everybody is most critical generally. So we accept it, and there's -- we're highly critical of folks who ran the ship here before we got there. We're highly critical of ourselves and each other, and we should be. 
 So what I would tell you about food quality and can we be better? When I got to Domino's, there was a belief that we were going to be fast at delivery but we really couldn't touch Pizza Hut and especially Papa John's in product quality. And I presented that to the management team and to our system as a self-limiting myth. We can do anything that we want to do if we want it bad enough and we put our minds to it. Does that mean we're going to go have 5,000 stores? I don't think that's in the offing, probably certainly in my career span. But it's not what we're looking for. We've got 32 Pie Fives up and running right now. There's a market opportunity that's the big guys... 
Unknown Shareholder: Are those profitable stores right now? 
Brandon Solano: Some of them are profitable, some of them are not profitable. To be honest, we have the right to collect franchise P&Ls, and we've not done that in several years. That was actually on Clint's to-do list when he came in. And given all of the crisis management that we have, we haven't been able to do that. We want to do collect our franchisees' P&Ls. We want to rack and stack them. Some folks are good at sales, some are good at cost management, some are good at labor, some are good at food. We want to find who in our system is doing the best and replicate that kind of across. 
 So both -- on both brands, we will be collecting P&Ls. We've been threatening that, but we've yet to do it because of the pandemic. But my point on kind of product quality, Pie Five is currently not advantaged in food quality. We've got research and data that shows that we're actually at a significant disadvantage. I don't know what -- where we were when you were out at the store in Maryland. But I can tell you where we stand right now, we are disadvantaged, and that's unfortunate. The good news is we've got an amazing culinary and marketing team and we can make good food. And we can do it at a price point and a value to consumers, and we can make money doing it. So product quality and product differentiation are critical. 
 We also have a lot of things that we do at Pie Five that add labor without adding a lot of quality. It's just work, and the food is not any better. Dessert is an example. We make desserts from scratch in Pie Five. And I didn't know it. And you can't, in my opinion, tell by tasting it. And they're finicky, and they're hard to get right. And that's something that we could simplify and probably improve both the margin and definitely the labor line on. So -- and that's a small thing. 
 Same thing, our salads. We have essentially a salad bar to build your own salad at Pie Five. That makes no sense to me. That is a labor killer. It also slows down the line. "Hey, I want onions. No, I want tomatoes." We're working right now on some curated salads that have more value to consumers, have less labor. We should get more take on them, expand ticket and reduce our labor and increase our throughput. Because some of our places are very busy particularly at peak. We want them all to be busy. We want to get folks through the line. 
 So there's a lot to do, but it's a small team. And the executive team is deeply involved in the details, and we make decisions quickly. We don't have 5,000 stores that are at risk, or a $10 million inventory position on certain items as we're looking at making change. And just from a kind of general appetite for change and pace, we move fast. And so we're having some -- a lot of success taking a look at things, making calls and moving on. We don't have a big protracted bureaucracy where marketing is fighting -- the insights team is fighting the finance team. If we can't get anything done quickly. We make decisions and moves. 
 So we're in the midst of that. But I think our quality needs to improve, but we also can do things that other folks can. So pan pizza, for instance, Blaze and MOD have that oven, which I believe is an advantage. Certainly, it's good window dressing and good theater, but they can't cook pan pizza. Pizza Hut became the #1 pizza brand here for, I don't know, about 50 years before Domino's took their crown a couple of years ago on a strategy I wrote, by the way. And so we have a lot of places that we have advantage, but we just haven't looked at the business with a fresh set of eyes and a strategic mindset. I mean it's a simple SWOT analysis. We're -- it's one of the things that the folks at McKinsey would ask, where do you play and how do you win? And we ask ourselves that and then we go quickly down those areas. So that's what we're working on. But thanks for your time, John. Thanks for your investment. 
Operator: And our next question comes from [ Michael Disler ] with [ AM&X ]. 
Unknown Analyst: Brandon, you may recall, I was on your very first call, your very first call as a CEO, and have been with you ever since and a long-time shareholder as well. And I wanted to welcome Clint. Your resume is equally impressive, just thought I'd throw that in there. 
 I'll be much briefer in general. I have actually some really specific stuff that you can just answer really quick, if you would. 
 There was a mention, I believe, in The Dallas Morning News. It's called that some northern Texas firms were returning their PPP funds. And I know you guys have received some. Did you have to return those funds? 
Brandon Solano: Michael, let me start by saying this, everybody likes to pick on the government and big banks. I'm no exception. I love to rail about those guys while having a beer. It makes me feel smart. But to be honest, the SBA did a fantastic job of processing our applications. And for as much flak as those guys have taken, I think they've done an amazing job, and I mean that. 
 Same thing. We bank with Chase. We were on the phone. Clint and I were both on the phone at midnight on a Sunday night with our banker. [ Kelyn ], I don't remember Kelyn's last name, but he was amazing. And so I just want to start out by thanking both of those big unwieldy institutions. We're nimble and really got after it. We are not returning our SBA loan for the simple fact that we're eligible for it. So there were a lot of heat about -- and I got some heat from some of my friends, postcards and letters and whatnot, about big rich companies like RAVE, publicly traded companies taking the money and the small guys couldn't get it. But the fact is RAVE is not a big, rich company. We've not been profitable in 7 years. We have a market cap under $15 million, which is one of the requirements for being eligible. You need to have made not more than $5 million in the last 2 years. We made less than that significantly, so -- unfortunately. 
 So at the end of the day, we got a loan for $656,830. I know that because I filled out the application at my kitchen table like 9x. So... 
Unknown Analyst: I have it in front of me, you amount. Go ahead. 
Brandon Solano: But we -- I will remember that number to the day I die. But we're eligible for the loan. We are grateful to the SBA and everybody who made that possible. We don't have access to other capital. And so that's where -- we're eligible, so we're not returning it. 
Unknown Analyst: Good. No, I was just curious because there was no follow-up that I saw in the paper. I don't live anywhere close to you. I'm up in northern -- northeast area. So that's fine. Thank you for the response. Number two, probably more than [ Queen's bailiwick ], which would be on the $4.3 million increase in the reserve against the net deferred tax effects, could you just explain that with 1 sentence of color? A little more? 
Clinton Fendley: Yes. So we had a $4 million asset on our balance sheet. A lot of that is predicated upon the idea that forward forecast of profitability. And I think that once we had COVID, it became apparent that the idea of profitability would be a bit further down the road, if you will. And so -- and working with our auditors and then viewing that valuation, we came to the decision that we needed to write that off for the time being. 
Unknown Analyst: That's what I wanted to know. So that can be recaptured down the road as you... 
Clinton Fendley: It's not absolutely. It is not [indiscernible]. 
Unknown Analyst: Just want to make sure that people are aware that, that is the case, who may or may not be on this call will read it later. Okay, thank you for that clarity. 
 Number three, just in -- relative to John's prior comments. And Brandon, I think all things considered, you guys are fighting a torrent. So I mean, I laud your efforts, truly, to protect your -- every stakeholder, from customers, franchisees employees and even shareholders. I do like the fact that you're going to play to your strengths and question the -- and that you're questioning the desserts and salads. That's a great plan. 
 Finally, I just -- this is my third question. That was just a comment in relation to what John said. My third question really is just it's timing. I know you're not allowed to say too much other than what we suspect based on third quarter where COVID really didn't enter into the picture till near the end of that quarter. Now you've had a full quarter, and we're touching hereon -- tomorrow is the 30th of June, you're about to close the books. My question is how much more pain have you had to endure in the last 10, 11 weeks since the close of third quarter in terms of sales, et cetera, beyond the disaster that probably befell you come March -- coming into March? And it's just a general question. I know you can't be specific legally. So I just don't hold you to it. I just wanted to get some color on that. 
Brandon Solano: Yes. So as we've noted in the Q here, March was impacted by COVID. I would tell you that the fourth quarter is impacted by COVID. And also -- so our fourth quarter revenues are impacted by COVID, but also our fourth quarter expenses were impacted by our response to COVID. So both of those are true, and I don't want to get into any more specifics other than that -- other than to say we were on it. 
Unknown Analyst: Yes. No, I read the actual SEC filing where there's a little more color on it in the management's discussion anyway. Anyway, what I do want to say is I appreciate the level of commitment to hard times and obstacles. And I followed your career for a long time, Brandon, and I hope you can pull the ship together in due course and over time. And I thank you and welcome Clint aboard. I hope you didn't get in right at the end. I think you're going to get in right at the beginning. So thank you both for the effort. And the other 17 who are working their rear ends off. And I will get back in the queue. And keep up the good work as best you can, and I appreciate it. 
Brandon Solano: Michael, thanks so much. We really appreciate it. 
Operator: [Operator Instructions] 
Brandon Solano: Okay. Thanks, gang. Again, we appreciate your time. We appreciate you listening. We appreciate the attention you give to RAVE. We know we're a small company, but we are a mighty band here. And we hope to have more to discuss with you guys next time. Thanks so much. 
Operator: And ladies and gentlemen, this will conclude the conference for today. Thank you for attending today's presentation. You may now disconnect your lines at this time.